Operator: Good day, everyone and welcome to Charles River Associates Third Quarter Fiscal 2016 Conference Call. Today’s call is being recorded. Today’s earnings release and prepared remarks from CRA’s Chief Financial Officer are posted on the Investor Relations section of CRA’s website at crai.com. With us at today are CRA’s President and Chief Executive Officer, Paul Maleh; and Chief Financial Officer, Chad Holmes. At this time, I would like to turn the call over to Mr. Holmes for opening remarks. Please go ahead, sir.
Chad Holmes: Thank you, Rob. I would like to remind everyone that the statements made during this conference call concerning future business, operating results and financial condition of CRA, including those identified in our earnings release and statements regarding guidance or using the terms looking ahead, expect, believe, can, position, should, aim, estimate, anticipate, intend or similar terms are forward-looking statements as defined in Section 21 of the Exchange Act. Information contained in these forward-looking statements is based on management’s current expectations and is inherently uncertain and actual performance and results may differ materially from those expressed or implied in these statements due to many important factors. Additional information regarding these factors is included in today’s earnings release and in CRA’s periodic reports with the SEC. CRA undertakes no obligation to update any forward-looking statements after the date of this call. Additionally, we will refer to some non-GAAP financial measures on this call, including adjusted EBITDA and certain measures presented on the constant currency basis. Everyone is encouraged to refer to today’s earnings release and prepared remarks for a reconciliation of these non-GAAP items to their GAAP equivalents as well as the calculation of adjusted EBITDA and a description of the process for calculating the measures presented on a constant currency basis. Let me now turn it over to Paul for his report. Paul?
Paul Maleh: Thanks, Chad and good morning everyone. Consistent with the first half of the year, CRA delivered strong financial results in the third quarter of fiscal 2016. Continued broad-based demand for our services provided CRA the opportunity to welcome more than 70 new colleagues, increasing quarter end headcount by 7% compared with the year ago, while also achieving company-wide utilization of 73%. We grew non-GAAP revenue by 8.2% to $81.7 million. Our performance was led by double-digit revenue growth year-over-year in energy, finance, including legacy operations and forensic and cyber investigations, labor and employment, life sciences, and Marakon. International operations experienced more than 20% revenue growth year-over-year led by our Antitrust & Competition Economics, Life Sciences and Marakon practices. Our third quarter results would have been even stronger with adjusted for foreign currency headwinds. On a constant currency basis, relative to fiscal 2015, non-GAAP revenue would have increased by approximately $2.2 million to $83.9 million or 11.2% year-over-year growth. Non-GAAP net income increased by 11.2% to $3.2 million and non-GAAP earnings per diluted share increased 21.9% to $0.39 per share, while non-GAAP adjusted EBITDA grew 16.7% year-over-year to $13.8 million or 16.8% of non-GAAP revenue. Foreign currency headwinds during the third quarter of fiscal 2016 relative to the third quarter of fiscal 2015 had a de minimis impact on non-GAAP net income, earnings per diluted share and adjusted EBITDA. Let me walk you through some highlights from the third quarter. Within management consulting, clients continued to turn to Marakon for expert advice on portfolio strategy, including aspects, such as optimizing resources and identifying investment opportunities. In the third quarter, we were engaged by a large European-based consumer health company to help frame a strategy for accelerating profitable growth, which incorporated our recommendations for attracting and retaining customers and investing in emerging markets. Marakon was also selected by a leading insurance company to develop a long-term strategy for its annuity businesses as sector facing challenges as a result of sustained low interest rates and regulatory changes in retirement accounts. In legal regulatory, the finance practice setting aside the strong contributions from our forensic and cyber investigations practice grew more than 25% year-over-year. Projects originated from disputes involving appraisal arbitrage, bankruptcy, breach of contract and other valuation issues. For example, we provided expert testimony in an appraisal action in Delaware Chancery Court testifying on the fair value of shares of a company acquired by a strategic buyer. During the quarter, we also continued to be engaged in matters involving major financial services firm, which focused on issues such as market manipulation and unauthorized trade. Forensic and cyber investigation services saw substantial growth during the third quarter have made new strains of malware leading to increased security threats. Evolving regulatory pressures on companies to monitor and report fraud and cyber security incidents are also leading to more project work, especially in the healthcare sector. For example, in the third quarter, we were encouraged by a large publicly traded healthcare provider to investigate and qualify allegations of systematic over-billing of claims to federal payers. Finally, the energy practice continued to perform well as changing energy commodities and evolving regulatory oversight of mergers and competitive issues have resulted in growing litigation work for our consultants. In addition, a pickup in the number of private equity firms looking for investment opportunities in the energy sector has enabled CRA to take on engagements with the business advisory role. Given the strength of our firm and it’s stability to generate strong cash flows, we can both invest in the business and return capital to shareholders. Our profitable growth and the initiation of the quarterly dividend combined with our stock repurchase activity, demonstrates CRA’s continued commitment to deliver value to shareholders. During the third quarter, we repurchased approximately 111,000 shares of common stock for $2.9 million, lowering our shares outstanding for the year by 7.4% to 8.2 million shares. Looking ahead, we are positioned to build on the strong momentum seen year-to-date across our portfolio. On a constant currency basis, relative to fiscal 2015, we expect to exceed our previously announced fiscal 2016 guidance for non-GAAP revenue of $312 million to $322 million and to be in the upper half of our non-GAAP adjusted EBITDA margin range of 15.8% to 16.6%. To summarize, year-to-date non-GAAP revenue on a constant currency basis relative to fiscal 2015, is $248.7 million, including a $4.3 million adjustment for currency headwinds. Similarly, year-to-date non-GAAP adjusted EBITDA is $41.7 million, including $1 million adjustment for currency headwind or 16.8% of non-GAAP net revenue on a constant currency basis. While we are encouraged by CRA’s solid performance during the first three quarters of fiscal 2016, we remain mindful of short-term challenges arising from integration of newly hired professionals, potential impact of seasonality and uncertainties around global economic conditions. With that, I will turn the call over to Chad for the CFO remarks. Chad?
Chad Holmes: Thanks Paul. Before we get to your questions, let me provide a few additional metrics related to our third quarter 2016 performance. In terms of headcount, we ended the third quarter with 541 consulting staff, which consisted of 115 officers, 270 other senior staff and 156 junior staff. This is a net increase of 34 consultants or 7% growth from the 507 total consulting headcount that we reported at the end of the third quarter of fiscal 2015. Non-GAAP selling, general and administrative expenses as a percent of revenue, excluding the approximately 2.4% attributable to commissions to non-employee experts with 17.9% for the third quarter of fiscal 2016 compared with 19.2%, a year ago. Turning to the balance sheet, we concluded the third quarter of fiscal 2016 with $25.2 million of cash and cash equivalents. DSO at the end of the third quarter was 108 days compared with 101 days at the end of the second quarter of 2016. DSO in the third quarter consisted of 67 days of billed and 41 days of unbilled compared with 68 days of billed and 33 days of unbilled in the second quarter of fiscal ‘16. As discussed, in prior earnings calls, we have been transitioning our real estate portfolio. With each location, we have started to create a more efficient and cost effective workplace. In London, the build-out of the office was completed and moved in September. Total real estate investments during the third quarter were $4.3 million, with an offset of approximately $100,000 of tenant improvement allowances. For the fourth quarter of fiscal 2016, we estimate the remainder of real estate cash outlays relating to our London office build-out will be approximately $1.1 million. In the third quarter, temporary additional rent expense associated with occupancy of our legacy office space at the same time as building out new space amounted to approximately $500,000. With the move of our London office completed, no further temporary additional rent expense is expected for the fourth quarter of fiscal 2016. That concludes my prepared remarks. Rob, we would now like to open up the call for questions.
Operator: Thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from the line of Marc Riddick with Sidoti. Please proceed with your questions.
Marc Riddick: Hi, good morning.
Paul Maleh: Hey, good morning Marc.
Marc Riddick: I wanted to go over little bit of the focus on headcount in some of the areas of growth and maybe what we can sort of look for going forward, the adding of 34 during – year-over-year during the quarter. But I was wondering if there was any particular area that you were maybe a little more excited about as far as near-term growth that you can share with us today?
Paul Maleh: Sure. As we tried to summarize on the press release and also our call here, we are thrilled with the strong performance across the entire portfolio. We have seen headcount growth pretty much distributed proportionally to the revenue contributions of those practices. The majority of those additions thus reside in our antitrust and competition economics, finance, life sciences and Marakon practices, which probably make up about three quarters of our total company revenue. So, the historic additions, our focus in those four areas and it’s probably pretty safe to assume going forward, the additions in 2017 will also be across our four main practices.
Marc Riddick: Okay, excellent, excellent. And I did want to mention as far as the initiation of the dividend and returning capital to shareholders that certainly seems to be fairly a clear way to show that. I wanted to get a sense of, maybe if you could sort of take us through, should we think about that going forward as maybe any form of targeted percentage of free cash flow or generally speaking are we looking at this as – with this initial dividend, how should we be thinking about it going forward?
Paul Maleh: Sure. For the last half of the year, we have returned approximately $15 million a year to our shareholders. Historically, it has been all focused on share repurchase activity. We expect to continue our commitment to returning capital to our shareholders. The dividend is just an avenue by which we can return that capital. So, it doesn’t recruit share repurchase activity. And as we tried to highlight throughout our discussion, it also is not meant to preclude any kind of investment opportunity. So, we are still looking to invest in the business. The cash flows are strong enough that we can do both. With respect to setting a hard target, we don’t have a hard target that really depends on where the value opportunities lie across the portfolio. If we see disproportionate opportunities and reinvesting in the business, we will take those opportunities. So, thus the dividend sort of provides us with a minimum floor for redistribution to our shareholders.
Marc Riddick: Okay, great. Thank you. And one last thing, you touched on the strength that you had internationally that would have been even stronger, excluding the currency impact. I was wondering if you can sort of maybe just share with us some general feedback that you have received and some of the opportunities that you maybe seeing post Brexit or any maybe general feedback that you can sort of share even whether it’s from feedback internally as to what those – what opportunities have been maybe be created post Brexit and that uncertainty that’s sitting out there? Thank you.
Paul Maleh: Sure. Thank you. I don’t believe we have seen yet any specific post Brexit opportunities. We were all looking to see if there would be a shift in the demand mix for our services in our European operations. And to-date, we haven’t really seen that shift occur were traditionally has been strengths for us in European operations continued to be strengths for us during the third quarter. We are all looking carefully as to what the ramifications are of Brexit in the quarters ahead, but to-date, I can’t necessarily point to one particular shift in demand as a result of the vote.
Marc Riddick: Okay, great. I appreciate it. Thanks for the color.
Paul Maleh: Thank you, Marc.
Operator: [Operator Instructions] The next question is from the line of Tim McHugh with William Blair. Please proceed with your questions.
Trevor Romeo: Hi guys. This is actually Trevor Romeo in for Tim today. Thanks for taking my question. Just a quick follow-up on the capital allocation and the dividend, how do you see sort of the priority between the repurchase and the dividend going forward?
Paul Maleh: Well the dividend takes priority, because it’s the first allocation of capital back to the shareholders. So we are going to look to initiate the dividend and we are of course, as quarters and years forward we are going to look for opportunities to grow that distribution to provide our shareholders a little more certainty with respect to what the allocation of capital will be. But proportionally, I don’t expect to deviate that much for what has historically been our redistribution about.
Trevor Romeo: Okay, great. Thank you. And then just one more quick one, I noticed in the press release that you mentioned some strength of antitrust practice internationally, could you give us an update on the trends and the outlook going forward in the U.S.? Thanks.
Paul Maleh: Sure. So internationally, a lot of our work has been focused on antitrust disputes and our practice, which has the leadership position over there has remained strong and actually sees demand building. So we are very excited about that. Here, in North America, the first half of the year has been a drop off in general M&A activity relative to 2015, which is sort of a long-term high. But we have started to see pickup as you saw with all the announcements in the past week or two weeks of some very large complex mergers being announced. So hopefully, it’s a sign of things to come and I expect us to be active in such engagements.
Trevor Romeo: Okay. Thank you very much.
Paul Maleh: Thank you.
Operator: Thank you. At this time, I would like to turn the floor back to Mr. Paul Maleh for closing remarks.
Paul Maleh: Again, thank you to everyone for joining us today. We appreciate your time and interest in CRA. We will be getting out to meet with investors in the coming months and we look forward to updating you on our progress next quarter. With that, that concludes today’s call. Thank you everyone.
Operator: Thank you. Today’s conference has concluded. Thank you for your participation. You may now disconnect your lines at this time.